Operator: Hello, everyone, and welcome to the OUTFRONT Media First Quarter 2025 Earnings Call. My name is Carla, and I will be coordinating your call today. [Operator Instructions] I’d now like to hand you over to Stephan Bisson to begin. Stephan, please go ahead when you're ready.
Stephan Bisson: Good afternoon and thank you for joining our 2025 first quarter earnings call. With me on the call today are Nick Brien and Matthew Siegel. After discussion of our financial results, we will open the lines for question-and-answer session. Our comments today will refer to the earnings release and slide presentation that you can find on the Investor Relations section of our website, outfront.com. After today's call is concluded, an audio archived replay will be available there as well. This conference call may include forward-looking statements. Relevant factors that could cause actual results to differ materially from these forward-looking statements are listed in our earnings materials and in our SEC filings, including our 2024 Form 10-K as well as our Q1 2025 Form 10-Q, which we expect to file tomorrow. We will refer to certain non-GAAP financial measures on this call. Any references to OIBDA made today will be on an adjusted basis. Reconciliations of OIBDA and other non-GAAP financial measures are in the appendix of the slide presentation, the earnings release and on our website, which also includes presentations with prior period reconciliations. With that, let me turn the call over to Nick.
Nick Brien: Thanks, Stephan, and good afternoon, everyone. Before getting into the numbers, I'd like to share some thoughts on my first few months in the executive role at OUTFRONT and some of the plans we have started to put into action. The biggest and most important thing I've learned since stepping in to lead OUTFRONT is that this company is built on extremely strong foundations to drive positive business outcomes for our clients. Over the past 10 weeks, I've talked with most agency – major agency partners and the trade industry organizations as well as met with many important advertisers and OUTFRONT employees across the U.S. Our continued growth, whether at a national, regional, or local level, will be determined by our ability to innovate, build leading brands and drive sales for our customers. To ensure that our company continues to strengthen our foundations, we are focusing as a management team on four strategic imperatives. First, we're focused on optimizing our sales strategies and ways of working. Second, we continue to modernize our workflow and processes. Third, we're focused on driving new demand from non-out-of-home advertisers in high-spending industry categories. And finally, we are demanding the highest standards of operational excellence across the organization. As I mentioned on the last call, I remain convinced there is significant potential to unlock within the company, and we have started on a path to deliver on these objectives. Now turning to our quarter one results, the headline numbers of which you can see on Slide 3. Organic revenues grew slightly, broadly in line with our guidance that we provided in February, while OIBDA was $64 million and AFFO was $24 million. Slide 4 shows our segment results. Billboard revenues, which includes a 2 percentage point headwind from the exit of a large marginally profitable New York billboard contract late last year were down 1%. Transit grew 2.6% with strong growth in the New York MTA being offset by weakness at other franchises, particularly LA buses. Other revenues, which now principally consists of low-margin digital equipment sales grew by about $2 million. Slide 5 shows our detailed billboard revenue. The 1% decline was primarily due to previously mentioned New York contract exit, the revenues and the expenses of which are still included in our reported 2024 financial statements. Digital billboard revenues were up 5.4%, while static revenues were down about 3.5%. I'd like to quickly shout out the South, which was our strongest billboard region. Slide 6 shows our detailed transit revenue. The 3% top line growth was driven by nearly 11% growth in our digital revenues, which were partially offset by a 3.4% decline in our static revenues. The New York MTA outpaced the consolidated transit growth rate, growing by about 10% during the quarter. On a consolidated revenue basis, our stronger categories during the quarter were legal, utilities, and financial. The weaker categories during the quarter were health and medical, government and political and CPG. Slide 7 shows our combined digital revenue performance, which grew almost 7% in the quarter and represented nearly 33% of total organic revenues, up from about 31% last year. Programmatic and digital direct automated sales were up nearly 20% during the period and represented 16% of total digital revenues, up from 14.5% in the same period last year. The breakdown of local and national revenues can be seen on Slide 8. Local was down 3% year-on-year during the quarter with growth in New York City transit being more than offset by weakness in billboard. National grew 4% during the first quarter, driven by improved creative efforts on advertising sales, specifically around the Super Bowl. Slide 9 shows our solid billboard yield growth, which was up about 2% year-on-year to over $2,600 per month. The drivers of this were digital yield growth and our continued digital conversions, increasing our percentage of inventory that is now digitized. With only about 5% of our total billboard inventory digital and the accelerated growth in automatic revenues that I described earlier, we see significant room for continued growth. Summing up revenue, quarter one was broadly in line with our expectations despite an uncertain economic climate. With that, let me now hand it over to Matt to review the rest of our financials.
Matthew Siegel: Thanks, Nick, and good afternoon, everybody. For a deeper dive into our financial statements, please turn to Slide 10 for a more detailed look at our billboard expenses. In total, billboard expenses were down just over $5 million or 2.4% year-over-year. This decline includes an approximate 200 basis point impact from the exit of the large marginally profitable billboard contract late last year that Nick mentioned earlier. Zooming in on billboard lease costs, these were down over $6 million or about 6% due primarily to that billboard portfolio exit and also lower payments on revenue share leases. Posting, maintenance and other expenses were down about $1 million or 2.5% due to lower maintenance and utilities costs and lower posting and rotation costs, partially offset by higher compensation-related expenses. SG&A expenses rose about $2 million or 3.2% due to higher compensation-related expenses, including salaries and commissions, and a higher allowance for bad debt. This $5 million improvement in total billboard expenses, combined with a small decline in billboard revenues as Nick described earlier, led to billboard adjusted OIBDA rising about $2 million or 2%. We are pleased to see billboard adjusted OIBDA margin increase again this time by 100 basis points year-over-year to 31.9%, helped by recent portfolio management efforts. Before moving to transit, I’d like to talk about another billboard portfolio we will be exiting in the middle of the second quarter. As we described last year, we are focusing on improving or exiting contracts with limited financial benefit to OUTFRONT and its shareholders. Consistent with that philosophy, we will be exiting another large, but marginally profitable billboard contract, this one in Los Angeles. We expect this exit on its own will pose a 200 basis point run rate impact to billboard revenue growth until we lap it next year. Given this contract was only marginally profitable, we expect a very limited impact on adjusted OIBDA and AFFO. Now turning to transit on Slide 11. In total, transit expenses were up almost $1 million or 1% year-over-year. Transit franchise expense was flat as the annual inflation adjustment to the MAG for the MTA contract was offset by lower variable payments to other franchises. Posting, maintenance and other expenses were up $0.5 million or about 3% due primarily to higher maintenance and utilities costs. SG&A expenses were up 2.4%, primarily due to higher allowance for bad debt. The 1% increase in total transit expenses, combined with the nearly 3% transit revenue growth described earlier, with the transit adjusted OIBDA improving by about $1 million during the quarter. Since we still expect full year revenue to result in us paying the MAG in New York, we've straight-lined our minimum guarantee payments throughout the year. And given the seasonal nature of our revenue, this leads to the unevenness of our transit OIBDA. We continue to expect that full year transit OIBDA will be positive. Slide 12 shows the company's combined billboard transit and corporate adjusted OIBDA in the first quarter. We consider this an important measure given these represent essentially the entire company. Corporate expense rose by about $5 million, nearly entirely due to management severance payments and executive search fees. Combined with the billboard and transit OIBDA, I covered earlier, consolidated adjusted OIBDA totaled about $64 million, a 3% decline versus the prior year. Excluding the $5 million of severance costs and executive search fees I just noted, adjusted OIBDA would have been up a few million dollars. Along with recent management changes, we are looking for additional ways to be more cost efficient as an organization. Turning to capital expenditures on Slide 13. Q1 CapEx spend was $17 million, including about $6 million of maintenance spend. For 2025, we still expect to spend approximately $85 million of CapEx and also still expect $35 million of this total for maintenance. Looking at AFFO on Slide 14, you can see the bridge to our Q1 AFFO of $24 million. The improvement is principally driven by higher billboard and transit OIBDA and lower interest expense caused by lower debt balance following the sale of our Canadian business. These benefits were partially offset by higher corporate expense, much of which was due to unusual items such as severance. For the full year, while the economic environment remains uncertain, we are not seeing any – we're not seeing cancellations or other indications that a recession is likely and continue to expect reported 2025 consolidated AFFO will grow in the mid-single-digit range. Please turn to Slide 15 for an update on our balance sheet. Committed liquidity is over $600 million, including about $30 million of cash, around $500 million available by our revolver and $100 million available by our accounts receivable securitization facility. As of December 31, our total net leverage was 4.8 times, within our four times to five times target range. Our next maturity is a $400 million term loan in late 2026, and we intend to refinance that later this year. Turning to our dividend, we announced today that our Board of Directors maintained a $0.30 cash dividend payable on June 30th to shareholders of record at the close of business on June 6th. We spent approximately $6 million on acquisitions during the quarter and looking at our current acquisition pipeline, we continue to expect our 2025 deal activity to be focused on opportunistic tuck-ins and remain at a similar level to those seen in the last couple of years. With that, let me turn the call back over to Nick.
Nick Brien: Thank you, Matt. While significant uncertainty has been injected into the market because of the fluctuating economic policy announcements from where we sit today, we expect that second quarter revenues will look similar to the first quarter, perhaps a bit better, with billboard flattish to slightly down and transit up low to mid-single digits. Notably, our quarter two guidance includes the revenue headwinds created by the exits of the two large billboard contracts. But as Matt just noted, these exits will have little to no impact on our OIBDA or AFFO. Encouragingly, the top line in the second half is currently pacing better than the first. To close, I'd like to share some of the comments I recently made at the OAAA conference earlier this week in Boston. Today's marketing industry prioritizes digital media for measurable performance outcomes. This demands that we accelerate our digital-first strategy to enable first-party data integrations, leverage our partnerships with the leading ad tech platforms to deliver dynamic content to target custom audience segments in the most efficient way possible. This campaign activation strategy will ensure that we deliver the most effective digital out-of-home campaigns with a proven ROI advertisers are demanding. This in turn will allow the entire out-of-home industry to fortify its position in an increasingly digital advertising future. With that, operator, let's now open up the lines for questions.
Operator: Sure. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from the line of Daniel Osley with Wells Fargo.
Daniel Osley: Thanks. Given the broader concerns on the macro, can you give us a general sense of what percentage of your ad categories are goods versus services? And then also, in the current environment, would you expect local or national advertisers to be more resilient? I think this is the second quarter in a row where local has underperformed. Thank you.
Nick Brien: I think when – thank you, Daniel. The question is one that we have been asking our sales organization on a very frequent basis. So we're looking at it nationally, regionally, and locally. And when it comes to the tariff and the implications of what that is representing either in cuts or postponement, we've actually seen it really in the range of postponements. And we've seen that with automotive, some government and political, a brief amount of fashion and retail and tourism and CPG. They have not had any significant reductions, and we're mostly services. So I hope that gives you a sense of our book.
Daniel Osley: That’s helpful.
Operator: And the next question comes from Cameron McVeigh with Morgan Stanley.
Cameron McVeigh: Hi, thanks. I noticed a picture of your billboards in LA on the first slide of the deck. And curious, any more color on how spend in LA and in particular, media and entertainment-related spend is trending. And I was curious if the exit of the LA contract is related to the fire? Thanks.
Nick Brien: I think, Cameron, thank you for the question. Clearly, entertainment, the media and entertainment category is extremely important for us in L.A. And as Matt outlined on our last call, we're going to ensure that we're as creative and innovative as we can about representing the broadest range of our inventory, whether it be transit, static, or digital to ensure we satisfy the best opportunities. What we are not going to continue doing is to ensure that because of one individual category, we're going to be focused on leases – lease arrangements and contracts that we don't consider to be profitable over the longer term. What we've also not seen is that this is an individual category is fire related. We've had a lot – I was just asking the LA team this. We've had a lot on the genre that had actually been more hollow related for the last quarter. We're seeing a very exciting quarter two of the slate that's looking very promising. So again, as an industry sector, it remains extremely important for us and one that we're going to service with the level of productivity as they have come to expect.
Cameron McVeigh: Great. Thank you. And then just secondly, curious the latest on the MTA contract, where the MAG [ph] stands? And if you've seen any impact from the New York City congestion pricing on transit growth so far? Thanks.
Matthew Siegel: Thanks, Cameron. It's Matt. On the MTA contract, the MAG went up this year from $150 million last year to $156 million, which represented a little over 3% New York CPI increase. It's hard to kind of trace or see the benefit of congestion pricing or return to office or just New York City economic activity. But certainly the congestion pricing seems accretive. We're focusing more performance-wise on the MTA, so our teams are doing great. But I'm on the subway almost every day, and it seems a little more crowded to me. Our metrics that we look at and get from the MTA seem to open higher ridership and return to work. And then I hope all the banks and everyone else out there is pushing people for five days a week.
Cameron McVeigh: Helpful. Thanks both.
Operator: [Operator Instructions] We will now follow to the next question that comes from Patrick Sholl with Barrington Research.
Patrick Sholl: Hi, thank you. Just curious on the first two imperatives that you laid out for OUTFRONT focus. I was just wondering if you could maybe talk about any – if you could drill down into how we should think about potential cost savings or operational efficiencies that you would look for in there?
Nick Brien: Thanks, Patrick, for the question. I outlined against the vision of these four strategic imperatives that have begun in earnest, and you're talking specifically about the first in terms of resetting sales strategies and ways of working. And to be clear, that's not about the efficiencies, that's really about the demand engine and being very focused on our organizational structure and operating system to both drive revenues from existing clients whilst really pursuing the non-out-of-home advertisers that are significant in many industry categories today. The second strategic imperative is allowing us to review all of the costs that are being invested in the AI and the automation and the current existing tech stack because we've said that we want to modernize our tech stack whether it's to do with our order management system or our data integrations, and we're going to continue to be as smart on our investments for ad tech stack. And critically, that's about the programmatic platforms between the SSPs and DSPs as well as identifying those platform resellers that are becoming very active and very significant in the digital out-of-home marketplace. So where we're focusing and we're having the conversation, and Matt mentioned earlier, is about looking and ensuring we are focused on cost efficiencies throughout the business. These four strategic imperatives are about focus, a laser-like focus on what we believe to be the most important things that are going to drive the growth of the business and taking our attention or involvement away from the things that aren't. I hope that answers your question.
Patrick Sholl: Yes. And then on the Q2 expectations, aside from the exited contracts, are you seeing any big differences across geographies and on the revenue trends?
Matthew Siegel: Hey good, Pat. The West has been a bit of a challenge for us, not just L.A., but obviously, San Francisco is still recovering. So if anything, as Nick pointed out in his remarks, South and the Midwest is generally doing pretty well. In the East region, pointed out the MTA. MTA transit performance is doing very well, and that really carries the water for all of our transit segments. But nothing to draw conclusions about regions just where we have our portfolios. Some seem to do a little better these days, some are doing a little less better.
Patrick Sholl: All right. Thank you.
Operator: [Operator Instructions] And since we don't have any further questions in the queue, I will hand back over to Nick Brien for any closing remarks.
Nick Brien: Well, thank you for joining us today. Certainly, we hope to see and meet many of you at the various conferences and events as we head into the summer. But for those who we don't, we certainly look forward to presenting our quarter two results to you in early August. Thank you for your time today.
Operator: Thank you, everyone, for joining today's call. This concludes the call. You may now disconnect. Have a great rest of your day.